Operator: Ladies and gentlemen, thank you for standing by, and welcome to JOYY Inc. First Quarter 2025 Earnings Call. At this time, all participants are in listen-only mode. After the management's prepared remarks, there will be a question and answer session. I would now like to turn the conference over to your host, Jane Xie, the company's Senior Manager of Investor Relations. Please go ahead, Jane.
Jane Xie: Thank you, Operator. Hello, everyone. Welcome to JOYY's first quarter 2025 earnings conference call. Joining us today are Ms. Ting Li, Chairperson and CEO of JOYY, and Mr. Alex Liu, Vice President of Finance. For today's call, management will first provide a review of the course. The financial results and webcast of this conference call are available at ir.joyy.com. A replay of this call will also be available on our website in a few hours. Before we continue, I would like to remind you that we may make forward-looking statements, which are inherently subject to risks and uncertainties that may cause actual results to differ from our current expectations. For detailed discussions of the risks and uncertainties, please refer to our latest annual report on Form 20-F and other documents filed with the SEC. We will also discuss certain non-GAAP financial measures. They are included as additional clarifying items to aid investors in further understanding the impact that these items and events had on the financial results. The non-GAAP financial measures provided above should not be considered as a substitute for or superior to the measures of financial performance prepared in accordance with GAAP. You may find a reconciliation of the differences between GAAP and non-GAAP financial measures in our earnings release. Finally, please note that unless otherwise stated, all figures mentioned during this conference call are in U.S. Dollars. I will now turn the call over to our Chairperson and CEO, Ms. Ting Li. Please go ahead, Ms. Li.
Ting Li: Hello, everyone, and welcome to our fourth quarter 2025 earnings call. 2025 marks a key milestone for both JOYY and for me personally. JOYY has just reached its twentieth anniversary, growing into a global technology leader with a sizable engaged user base worldwide. We have diversified our growth strategy and are generating clear results, as non-live streaming revenue continues to expand rapidly, affirming the strength of our business model. As 2025 marks my first complete full fiscal year as CEO, I am excited to outline our medium to long-term strategy, vision, and operational roadmap as we advance into our next decade of growth. First, looking at our core performance, we recorded total revenue of $494 million in the fourth quarter of 2025. Our non-GAAP streaming revenue reached $123 million, a year-over-year increase of 25.3%, with non-live streaming revenue accounting for 25% of the group's total revenue for the first time. In the fourth quarter, we achieved a non-GAAP operating profit of $31 million, a year-over-year increase of 25%. Meanwhile, we maintained strong operating cash flow, which reached $58 million. During the fourth quarter, we distributed approximately $49.1 million in dividends to shareholders. On top of that, we repurchased approximately $22.5 million worth of our shares as of May 23, reinforcing our commitment to returning value to our shareholders. In the past, we focused on expanding the global reach and influence of our user community, leveraging our diverse portfolio of products spanning live streaming, shopping, videos, messaging, and more. We have successfully monetized our global user base through live streaming and delivered consistent profitability, which demonstrates our industry insight, operational efficiency, and strong execution. Over the past two years, we have stepped up our innovation to develop new revenue streams, achieving significant progress toward our growth objectives of cultivating a multi-faceted ecosystem. Since 2024, our global programmatic advertising platform, Bigo Ads, has achieved remarkable growth, capitalizing on our sizable global user base of approximately 260 million users, primarily young and middle-aged Internet users with strong purchasing power. We have attracted a growing number of advertisers. Bigo Ads has further expanded its traffic pool by integrating premium publisher traffic with our first-party traffic, consistently delivering strong measurable results for advertisers. This success has fueled the rapid expansion of our advertising revenue, reinforcing our confidence to further diversify and expand our ecosystem. Looking at the full picture of our non-live streaming businesses, we believe that our advertising platform and smart commerce platform are also strategically complementary, driving synergy across our ecosystem. As Bigo Ads expands its traffic pool and enhances its data-driven targeting capabilities, it will empower merchants to scale their market presence through precision expansion and customer targeting. This integrated approach generates significant value across our ecosystem and creates a virtuous circle of growth for both Bigo Ads and our smart commerce platform. Looking forward, we anticipate our non-live streaming businesses, including our advertising and smart commerce platform, will emerge as JOYY's second growth engine. Our initial accomplishments in these areas have been encouraging, and I am confident that this multi-engine approach will establish a sustainable long-term growth roadmap for JOYY that will deliver major lasting value and enhanced returns for our shareholders. Next, let me share with you our latest business update and operational strategies. First, our live streaming business. In the fourth quarter, the group's live streaming revenue was $371 million, with Bigo contributing $352 million, in line with our expectations. At present, we observe a strengthening trend in online entertainment spending, especially as users in developed markets have shown greater willingness to embrace emerging technologies, and the long-tail paying users have reduced spending due to economic headwinds. To address such trends, we have adopted prudent strategies and efficient operational resource allocation. First, we are continuously optimizing our user acquisition strategy by prioritizing advertising spend on higher-quality paying users in core markets. Second, we are strengthening our revenue-sharing mechanism, particularly by streamlining underperforming agencies and channels that fail to deliver positive ROI. Third, we continue to strengthen our community content safety measures while improving content operations to boost user engagement. These strategic changes have already brought constructive results. While live streaming revenue has fluctuated temporarily, we have achieved a significant improvement in operating profit from our flagship product, Bigo Live. Despite this transitional phase, we remain confident in the fundamental interactive value that live streaming can offer to users and its monetization potential. To reaccelerate growth, our strategy focuses on two actionable points. First, we will continue to optimize resource allocation based on ROI and improve traffic quality, prioritizing user growth in core markets such as developed countries and the Middle East. Second, we will drive content, product features, and operational innovations to boost user engagement, improve paying users' experiences, and increase conversion rates. By better identifying quality users and improving payment conversion, we expect a recovery in high-quality paying users, stabilizing live streaming revenue, and driving renewed growth. Next, let's look at the performance of our core product across key markets. First, the developed countries region. In the fourth quarter, live streaming revenue in developed countries continued to outperform. In particular, Bigo Live's North American region saw Q1 MAU growth exceeding 7% year over year. At the same time, the number of paying users in the region increased by approximately 4% in Q2. Next, the Middle East region. Ramadan in 2025 began earlier this year, with the entire month falling within the fourth quarter, which caused some fluctuations. Even so, our products actively promoted a series of operational activities, which drove regional user activity and helped boost our brand influence among our users. In the long run, the Middle East market continues to be one of our strategic priorities, given its strong monetization potential as demonstrated by top-tier affluent users' affinity for interactive live streaming and high engagement. We have remained a leader in the market, and we are committed to deepening our penetration in the Middle East through our expanding diverse product portfolio. Looking at product improvements, our team has made important product feature updates that are creating clear operational benefits. In the fourth quarter, Bigo Live launched an entirely redesigned VIP benefit system and improved its gifting experience, upgrading gift features for high-value users. These efforts delivered a 3% QOQ increase in ARPU among Bigo Live's high-end users. Likee also enhanced its content by building a more diverse and engaging content library. This led to impressive engagement metrics during the quarter. Videos viewed per user rose by 7% compared to the previous quarter, with overall video consumption time increasing by 10% over the same period. Our refined approach to top streamer management and investment also produced a notable 3% QOQ increase in Likee's average paying ratio during the quarter. In the fourth quarter, we generated approximately $18 million in advertising revenue, a year-over-year growth of about 27%. Here, I would like to share my insights into the macro and industry changes in the advertising business and how we plan to establish our long-term competitive advantage in advertising in the current environment. As you see, we believe JOYY is uniquely positioned to take advantage of the current conditions in the advertising space to drive our long-term growth. First, the global macro landscape is highly dynamic, with major shifts taking place in advertising placement across key markets. Advertisers need placement strategies leveraging both domestic and international channels to maintain and grow their market share. This change actually favors organizations with a unique profile, particularly those with both strong localized operations and extensive global reach. As such, we believe JOYY benefits clearly from this recent shift in the advertising landscape. Our market insight, premium global traffic, and localized operations have helped us build strong credibility with advertisers. This trust has allowed our Bigo Ads platform to grow quickly, which has increased both our managed traffic volume and overall platform scale. Second, in this evolving landscape, advertisers now demand better returns from their placements, along with clearer measurement and proof of placement impact. Specifically, they want to directly connect their ad cost to revenue and profit growth. This means that more than ever before, platforms must find and engage beneficial audience segments and efficiently convert interactions into measurable new customers. JOYY is uniquely positioned to meet these changing needs with our large user base of 260 million people worldwide. Our users include the key target groups for many important advertising categories, and we understand their behaviors and preferences deeply. This creates an advertising system with detailed user profiles that helps advertisers consistently reach their most valuable customers. Third, we are leveraging AI to transform our advertising strategy. The rapid advancement of AI technologies and infrastructure has greatly enhanced JOYY's capabilities, enabling us to capitalize on our advertising application scenarios and proprietary data assets. Bigo Ads uses our extensive global audience and years of quality data to build its own virtual model, integrating cutting-edge generative AI technology. This has helped us build an intelligent end-to-end advertising platform that covers user insights, creative development, precise targeting, and real-time optimization. Our AI usage improves ad performance and ad returns while creating better revenue opportunities for our publisher partners. This success attracts both more advertiser spending and more publisher traffic, helping the Bigo Ads platform grow quickly. Fourth, our advertising business enjoys significant economic advantages thanks to our established global operational team, R&D capabilities, and our network infrastructure. In particular, bandwidth and network-related expenses, a key component of operating costs in an advertising platform, are optimized through our global network infrastructure, originally built for our social and entertainment products. This allows Bigo Ads to enjoy significant cost savings as our advertising business scales, our server cost per unit decreases, and the company steadily enhances overall operational efficiency. In summary, our advertising business has delivered consistently strong growth in the past quarter and continues to be profitable for the company. This success comes from our localized operations, our advertisers, and the user base, our industry-leading algorithm, and our global network infrastructure. Given this proven strength and our growing market position, we are confident our advertising business will continue to contribute to growth in average revenue and profitability over the long term. Now moving to our thoughts on capital allocation. With the preliminary progress that we have made to diversify our businesses, we are actively monitoring our business development and resources and carefully assessing long-term capital allocation opportunities to support our non-live streaming businesses. In the short term, we expect to prudently expand headcount and marketing resources to support our advertising business while maintaining a healthy profit margin. In the mid to long term, once our non-live streaming business reaches a certain scale, investment in infrastructure upgrades, technology development, talent, market expansion, and marketing efforts are all potentially high-return capital allocation options. We aim to extend our competitive advantages through efficient capital use. Our shareholder return strategy has established a consistent track record of delivering returns to our investors. Looking forward, with our live streaming business stabilizing and the rising revenue and profit from advertising and other emerging business lines, we expect the company's consolidated operating profit to continue to improve and our shareholders to benefit from our long-term profitable growth. We remain deeply committed to disciplined capital allocation and balancing strategic investment with competitive shareholder returns. In short, we are currently experiencing a dynamic transition in JOYY's business structure and reshaping our resource allocation, focusing on high-quality organic growth. With the rapid advancement in our non-live streaming businesses, we expect 2025 will be a year of implementation and validation of our multi-growth engine strategy. I am confident that our focus on value-effective organic growth will drive expanding business and financial benefits, ultimately creating lasting value for our shareholders. I will now turn the call over to Mr. Alex Liu, the Vice President of Finance, to provide our financial update.
Alex Liu: Thanks, Ms. Li. Hello, everyone. Please note that the financial information mentioned during this conference call is presented on a continuing operations basis unless otherwise specifically stated. In the first quarter of 2025, we recorded total net revenues of $494.4 million, delivering at the higher end of our previous guidance. Our non-GAAP operating profit was $31 million, also exceeding market expectations. Building on these inspiring presentations of our strategy, we have made significant strides in diversifying our revenue streams and fostering a dynamic multifaceted ecosystem. I will now dive deeper into our financial performance for the first quarter. Our live streaming revenues were $351.3 million for the first quarter, $351.6 million of which was from the Bigo segment, along with our expectations. In the past few quarters, we have been continuously optimizing our user acquisition strategy by prioritizing advertising spend on high-quality paying users in core markets and simultaneously adjusting our revenue-sharing mechanism by streamlining underperforming efficiencies and channels that fail to deliver positive ROI. This, together with the impact of peak seasonality, has led to short-term fluctuations in our live streaming revenue and user metrics. Our prudent and efficient operational resource allocation has posted measurable results. The percentage of total live streaming revenues from developed countries has increased by 2.8 percentage points year over year to 47.4%. The operating margin of our flagship product, Bigo Live, has also been substantially improved year over year. Our non-live streaming revenue was $123 million during the first quarter, contributing 24.9% of our total group revenues, up from only 17.4% contribution in the same period last year. This reflects a strategic transition in our revenue mix. In particular, Bigo's non-live streaming revenues, primarily advertising revenues, increased by 27.3% year over year to $80.3 million. As Ms. Li mentioned earlier, built on our high-quality first-party global user traffic, technology and network infrastructure, as well as AI capabilities, Bigo Ads has emerged as a competitive programmatic advertising platform and attracted a meaningful base of global advertisers and publisher traffic. As we are currently accumulating scale and enhancing our algorithm, we expect to further improve campaign performance and ROI for our advertisers, which in turn will drive accelerating growth in our advertiser base and the publisher traffic pool. At present, Bigo Ads has made a positive contribution to our bottom line. We expect it to be increasingly meaningful and eventually become another growth engine for our profit over time. Our other segment, non-live streaming revenues, was $43.2 million, increasing by 21.6% year over year. The group's gross profit was $178.6 million in the quarter, with a gross margin of 36.1%. While Bigo's gross margin was relatively stable, the other segment's gross margin was substantially up by 9.8 percentage points year over year, to 41.7%, due to the segment's enhanced monetization, particularly growth in non-live streaming revenues. Other gross operating expenses for the quarter were $167.2 million compared with $195.4 million in the same period of 2024. The decline in our operating expenses was in line with our current operating strategies across both live streaming and non-live streaming businesses. For our live streaming business, we have continuously optimized our sales and marketing expenses to enhance ROI. For our non-live streaming business, while it has shown robust revenue growth, we have maintained prudent and disciplined spending, with operating expenses rising at a slower rate than revenue. Our disciplined execution has driven enhanced operational efficiency. Our group's non-GAAP operating income for the quarter was $31 million, up by 24.9% from $24.8 million year over year. Non-GAAP net income attributable to controlling interest of JOYY in the quarter was $63.2 million. The group's non-GAAP net income margin was 12.8% in the quarter. Our non-GAAP net income was lower this year primarily due to lower interest income due to a decrease in our cash balance as we fully repaid our CB in June last year and a lower interest rate. For the first quarter of 2025, we booked net cash inflows from operating activities of $58 million. Our balance sheet remains healthy with a strong net cash position of $3.4 billion as of March 31, 2025. Now moving to capital allocation. Shareholder return continued to be an important component of our capital allocation strategy. We have returned $49.1 million to our shareholders through dividends during the first quarter and repurchased $22.5 million worth of our shares during the year as of May 23, 2025. Going forward, we remain firmly committed to unlocking shareholder value through our capital return initiatives. Turning now to our business outlook. At the group level, we expect our net revenues for the second quarter of 2025 to be between $499 million and $590 million. Our guidance accounted for certain seasonality factors and reflects our preliminary views on the current market conditions and business adjustment decisions, which are subject to change. In conclusion, the rapid growth of Bigo Ads and our other non-live streaming businesses has driven substantial progress in building a dynamic global multifaceted ecosystem. As we strategically realign our resource allocation to prioritize high-quality growth and operational efficiency, we remain confident in our ability to deliver sustainable profitable growth and long-term value for our shareholders. That concludes our prepared remarks. Operator, we would now like to open up the call to questions. Thank you.
Operator: Thank you. If you wish to cancel your request, please press star two. If you are on a speakerphone, please pick up the handset to ask your question. When asking a question, please state your question in Chinese first. Your first question comes from Thomas Chong with Jefferies.
Thomas Chong: Thank you, management, for taking my question. I have two questions about the second half business outlook. Can management comment about the overall monetization trend in the second half, in particular, for Bigo Live? And, my second question is about cost optimization and the trend in operating expenses and the margin outlook in 2025. Thank you.
Ting Li: Thank you, Thomas, for your question. This is Ting Li. I will take your first question. First of all, you may notice that in our recent communication, we will be giving updates based on revenue type, live streaming and non-live streaming, rather than the previous Bigo and all other segments. This is mainly because our live streaming and non-live streaming businesses are currently quite distinct in terms of growth momentum and phase of development. Updating by revenue type would make it easier for everyone to understand the changes that are happening in our current business mix. So I will try to answer your question in line with the previously mentioned framework and category. First, regarding our live streaming business. Overall, since the third quarter of last year, we have rolled out a series of adjustments, including changes to the features of our non-core audio live streaming products, optimizing revenue-sharing mechanisms, phasing out negative ROI channels, and upgrading the content safety mechanisms and systems. As a result, our live streaming revenue has indeed experienced some fluctuations. From a QOQ perspective, we believe that these adjustments have largely been fully implemented. Therefore, we expect live streaming revenue to likely stabilize starting in the second quarter and resume positive quarter-over-quarter growth. When you look at our user acquisition strategy for live streaming, we will continue to allocate and prioritize our budget towards high-quality users in developed countries based on real-time ROI. Simultaneously, we will continue to optimize the design of paid features and user benefits systems tailored to different user segments to improve our paying conversion efficiency. We have seen some encouraging data from Bigo Live in February and March that the revenues in certain developed countries, such as North American countries, have already resumed positive month-over-month growth driven by an increase in the number of paying users. Looking at non-live streaming businesses, our advertising revenue from the Bigo segment and our SaaS revenue from the other segment are both maintaining year-over-year growth exceeding 20% in Q1. As our non-live streaming businesses, particularly advertising, enter into their busier seasons in the second half of the year, we expect our revenue sequential growth for both non-live streaming businesses to accelerate in the following quarters.
Alex Liu: Thank you, Thomas. This is Alex. I will take your second question. First, let's have a quick look at our Q1 performance. For the Bigo segment alone, our non-GAAP gross margin for Q1 was 35.5%, with the non-GAAP operating profit of 13.3%, both showing improvement compared to our Q1 level last year. This was primarily due to the live streaming business, where we optimized our content cost mechanism and also upgraded our user acquisition strategies to enhance ROI, leading to significant improvement in Bigo Live's gross margin and non-GAAP operating profit margins in Q1. For the other segments, our non-GAAP gross margin was also substantially improved year over year, rising from 32.4% last year to 42.1% in Q1 this year, which was a 9.7 percentage points increase mainly driven by strong growth in our non-live streaming revenue in the segment. The non-GAAP operating loss for Q1 was RMB26.5 million, which, despite being in the off-season, was narrowed by 23% compared to the previous quarter. This was primarily due to our disciplined spending in our non-live streaming businesses, with a noticeable QOQ decline in our operating expenses together with the impact of certain seasonal fluctuations in certain expenses. Looking ahead to Q2, with the Bigo segment's revenue resuming positive QOQ growth, we also anticipate Bigo's non-GAAP operating profit will also return to positive QOQ growth. For the full year of 2025, excluding the impact of the adjustments we made to the non-core audio live streaming product features in Bigo since Q3 last year, we expect Bigo's overall non-GAAP operating profit amount to remain stable with certain potential for growth in the full year. For the other segments, we expect that with improving monetization and disciplined spending, its R&D expenses as a percentage of total revenue will continue to decline, and we foresee a meaningful reduction in its amount of non-GAAP operating loss in 2025 compared to the previous year. At the group level, we do believe that our group's non-GAAP operating profit amount will show an improving trend for the full year of 2025. Next question, please.
Operator: Your next question comes from Luken Tzu with Goldman Sachs.
Luken Tzu: Thank you, management, for the opportunity to ask the question. Can management share more updates on the initiatives in 2025, and also can management give us more color on the underlying reasons behind Bigo Ads' accelerating growth? Also, the outlook for advertisers. Thank you.
Ting Li: Thank you, Luken, for your question. This is Ting Li. I will take your question on why Bigo Ads can accelerate growth. First of all, when we talk about Bigo Ads, we refer to both its in-house first-party traffic and also the third-party traffic advertising revenue. When we look at that, we look at it from both the advertisers' perspective, our traffic pool, and also the embedded advantages that we empower as a platform. First of all, let's look at the advertising side. We believe that it is not solely due to the growing advertisers' needs. We have noticed that advertisers need to allocate their placement budget across multiple channels, and they demand a high ROI for their ad investments. Factors such as geopolitical tensions and anti-monopoly measures have led to changes in the advertising market that caused advertisers to demand further diversification over their placement channels. Second, because we have those existing relations with the advertisers, such relations have driven publishers and aggregation platforms to join our network, leading to rapid growth in our traffic pool of Bigo Ads. Thirdly, because of our extensive user base and years of quality data, as well as our deep expertise and knowledge in user profiling, that was the foundation of effective and precise targeting and enabled us to deliver a positive ROI for advertisers. As we continue to roll out deeper training of our model, we expect our specific user scenarios to improve our model, which will bring further improvements in our delivery results to the advertisers. You may also notice that we have mentioned that Bigo Ads, in general, as a whole, has already begun to make a positive contribution in terms of operating profit. We believe that the reason we can achieve profitability at such a scale is due to a few reasons. First of all, it is always about ROI. Because of the fact that we have approximately 260 million first-party user traffic together with third-party traffic that is accumulating, and that we have the AI-empowered user targeting model enabled us to deliver a positive ROI for advertisers. Together with an in-house algorithm that optimizes our ad delivery to balance advertisers' goals, for example, they have higher ROI goals, but we can balance it between their goal with our platform revenue. As we continue to improve our model, we expect that our algorithm will help us efficiently balance our advertisers' needs and our own revenue growth. Thirdly, Bigo Ads obviously benefits from the group's prior investments in our global infrastructure, network infrastructure, and also our R&D infrastructure. That enables Bigo Ads to enjoy strong economic advantages with lower cost per unit. In summary, our advertising business has delivered consistently strong growth in the past quarters and continues to be profitable for the company. This success actually comes from our localized operations, our existing advertisers, and traffic pool, our industry-leading algorithm, and also our global network infrastructure. Given this proven strength and our growing market position, we are confident our advertising business is going to contribute to long-term growth in our revenue and profitability. Next question, please.
Operator: Your next question comes from Raphael Chen with BOCI Research.
Raphael Chen: Thank you for taking my question. Congrats on the solid quarter. Could management give us some insights about shareholder return policy and other temporary strategies? Thanks.
Alex Liu: Thank you, Raphael. This is Alex. I will take your question on capital allocation. First of all, our shareholder returns remain a key component of our capital allocation strategy. In the first quarter, we continued to execute our commitment to our shareholders, distributing $49.1 million in dividends and repurchasing $22.5 million worth of our shares as of May 23. Consistently fulfilling our commitment to provide a competitive return to our shareholders. Additionally, as Ms. Li just shared, we are also actively monitoring our business development and resources and carefully assessing long-term capital allocation opportunities based on the current stage and performance of our respective businesses. Currently speaking, the live streaming business maintains relatively stable growth in cash flow, and we are actively optimizing our resource allocation to improve its ROI. Meanwhile, for our non-live streaming business, such as advertising and SaaS, in the face of accelerated growth, in the short term, we expect to prudently expand our headcount and marketing resources to these non-live streaming businesses to support their growth while maintaining improving trends in their respective economics. In the long term, we will continue to enhance our competitive advantage through prudent and efficient resource allocation. We remain confident in our ability to drive sustained, diversified growth in our global revenue and operating profit while maintaining competitive shareholder returns. Thank you. And that was the last question. Thank you so much for joining our call today. We look forward to speaking with everyone next quarter. Thank you.